Operator: Good morning and welcome to Atento’s Third Quarter 2022 Results Conference Call. Today’s call is being recorded. All participants will be in listen-only mode. [Operator Instructions] I would now like to turn the conference over to Mr. Hernan van Waveren, Investor Relations Director for Atento. Please go ahead.
Hernan van Waveren: Thank you, Operator, and welcome everyone to our fiscal third quarter 2022 earnings call to discuss Atento’s financial and operating results. Here with us for today’s call are Carlos López-Abadía, Atento’s Chief Executive Officer; and Sergio Passos, Chief Financial Officer. Following a review of Atento’s financial and operating results, we will open the call for your questions. Before proceeding, please note that certain comments made on this call will contain financial information that has been prepared under International Financial Reporting Standards. In addition, this call may contain information that constitutes forward-looking statements, which are not guarantees of future performance and involve risks and uncertainties. Certain results may differ materially from those in the forward-looking statements as a result of various factors. We encourage you to review our publicly available disclosure documents filed with the relevant securities regulators. And we invite you to read the complete disclosure included here on the second slide of our earnings call presentation. Our public filings and earnings presentation can be found at investors.atento.com. Please be advised that unless noted otherwise, all growth rates are on a year-over-year and constant currency basis. I will now turn the call over to Carlos. 
Carlos López-Abadía : Thank you, Hernan. Good morning to all of you. Good afternoon. 2022 has proven to be more difficult here than we expected initially. However, I'm happy to report that the measures that we've taken during the first half of the year are beginning to show results. We are focused on five key areas, continue to build our sales capabilities, accelerated operational efficiencies, improved our cost structure, advance in face inflation past management, and significantly improved our service security.  As a result, we have improved EBITDA margin sequentially by 3.3 percentage points, grown sales by 10.3%, initiating our expansion to the Philippines and locked up the commitment of our major shareholders. We expect these actions to continue to impact positively the business into Q4 with EBITDA margin between 14% to 15%.  As for this improvement, we have seen some of our customers to reduce some volumes in Q3 and Q4 due to uncertainties in their business environment, particularly in Brazil. This leads us to expect an overall EEBITDA margin for the year in the range of 10.5% to 11%. While we are just beginning to see the impact of our actions in the results of the second half of 2022, we do expect to have a significant ongoing effect and position as well for much stronger 2023 continuing the trend and the exit rate of the second half of 2022.  Let me take you through the actions taken and the impact expected. As a key component of our transformation plan, expanding our sales capabilities is essential to grow into the right segments and geographies. On a lot of things, we have started new partner channel. We have started an inside sales program. We have improved account management with a particular focus on platinum accounts.  As a result, we've seen an improvement of 10.3% growth year on year after record Q2, respect to finish Q4 with sales in excess of 60 million total annual value, placing us in a much better position to start 2023. But also now, we place significant emphasis on the continued improvement of our delivery capabilities. In addition to efficiencies of 27 million achieved during 2022, which are focused on program level improvements, we have launched a new phase of operational improvements with broader focus on areas like [attrition], absenteeism. We call it project breakthrough. We have tested the new processes in 10 centers showing improvements between one to two percentage points of EBITDA margin. We expect the full roll out of this program to be completed before the end of Q2 next year.  I want to emphasize that these improvements are not simply cost taker, they represent genuine operational improvements resulting in better service to customers as well as higher margins. We have completed our consolidation of three regions with the reduction of more than 700 support roles and have improved our vendor management. As I mentioned in our Q2 call, we took a lot of the one-time costs of these measures in Q1 and Q2 while the bulk of the benefits are beginning to accrue now in Q3, Q4 and beyond. We have also accelerated the improvement of our inflation pass through, reaching close to 90% IPT, as we call it. All new contracts now have a standard IPT clause, and we have improved our management of the negotiations of those legacy contracts that do not have these clauses yet.  Finally, making virtue out of necessity, our investments in cyber infrastructure have been noticed externally and publicly. You can look us up on sites such as SecurityScorecard, a security rating company where we finished significantly ahead of the competition. And also, very happy to announce the launch of a new operation in the Philippines on the back of new demand of existing clients and Philippine’s specific new clients. We expect revenue in the first year to be between $20 million to $50 million.  Also, this quarter we announced the low cap commitment of our major shareholders representing more than 70% of the company ownership. Now, 2023 will be our last year of abnormally high financial expenses. We have a 2023 business plan that should sufficiently cover our financial obligations, but in order to provide additional reassurance to customers and investors of our ample liquidity, we are evaluating a number of offers from financial -- for financing alternatives from existing investors and also from international banks. The proceeds, in addition to provide additional liquidity if needed, could be used to improve our capital structure, including repaying or repurchasing part of our existing debt, taking advantage of current market prices. We expect to make an announcement on this over the next few weeks.  I would now like to finish with sharing with you our progress in ESG. This continues to be an ongoing priority for Atento. We measure our progress month to month and quarter to quarter. You can check us out with independent parties such as Sustainalytics that already positions Atento as a leader in the industry.  Now let me turn this over to Sergio, who is going to add additional detail. Sergio, over to you. 
Sergio Passos: Well, thank you, Carlos, and thank everyone for participating in our Q3 earnings call. I’d like to start -- a slightly different talking about the change not from Q3 to Q3 of last year, but just start making a very quick comparison between Q2 and Q3. So, how is our sequential movement in terms of main KPIs? I would start with revenue. So in Q2, if we compare Q2 to Q3, we basically had a 1.3 percentage point on constant currency increase on revenue, which is a good sign because we've been evaluating the evolution of potential recession or downturns in some of the economies. So having a positive 1.1% revenue base is a result of some of what we told you on Q2 that we had a record sales -- so that's a good sign on the revenue side.  Looking at EBITDA, there is where we can let's say, report a significant increase. So we had 7.8 percentage points of EBITDA that we reported last quarter, and we talked a lot about accelerating a lot of actions that would hurt Q2 with some incremental costs like site shutdown, like severance costs and some others. But that would benefit our second half of the year. What Q3 is bringing is that those actions are paying off. So we are now very far from the 7.8, so we are increasing 3.3 percentage points of revenue to 11.1% EBITDA even with all of what we are talking about, the economy and everything else. On the operating cash flow, we are keeping the same trend. So we were at 8.1 positive in Q3 of this year.  Looking at free cash flow. Then I have a chart that will explain better to you. We had all of the finance expenses and the bond and hedge payments that we had in August which drove the free cash flow down for the quarter. Looking more on the -- traditional way of looking, so now looking at Q3 compared to Q3, so Q3 ‘22 compared to what we had in Q3 ’21. We see that again on a constant basis, we had a minus 0.4% reduction of the revenue, which again, is a good sign because in Q2 we showed you that we had on a constant basis, 4 percentage points down. So, Q2 of ‘22 was 4% down compared to Q2 of ‘21. So in a way, it's showing a slight -- a reduction or a gradual reduction on this space of volume reduction that we saw in Q2.  Looking at, again, consolidated as I mentioned, 11.1 is our EBTIDA margin compared to last year, we are down by 2.3 percentage points. We still have some one off costs like severance costs most of that were in Q2. But we still have some in Q3, not that much but some of them. And we had the main impact at Q3 compared to last year was on Brazil, where we had a lot of lingering effects in terms of volume as we mentioned that we had some volume reduction from clients that had a share of wallet with Atento, very big, In a way, when they get back, part of the volumes did not return and also the economic scenario, which is driving volumes down.  So looking more details in Brazil, volumes or revenue are down by 8%, out of that 6% in which sector -- and in that 6%, we do have part that relates to the cyber-attack volumes related to the cyber that didn't return, and also some price reduction targets that we received throughout the last quarter that was below our minimum profitability that we could do. So in a way, we decided not to participate.  On Telefónica, we had 13.6% down in terms of revenue, mainly driven by the cost efficiency. Telefónica has a huge cost efficiency program that they implemented early in the year, and they continue throughout the entire year. This makes us -- our revenue down. And two components: one is volume, they are actually reducing volumes; and the other one is adjustment on prices that we did together with them to make sure that they are more competitive in a way that 8% of revenue reduction partially moved to the EBITDA margin. So we are four percentage points down in Brazil. We still have some severance because of that volume reduction there. But we managed to offset part of the volume downturn on the EBITDA margin, which we closed at that 10.8.  Looking at Americas, the scenario in terms of volume is completely different. We had a 3.4% increase on the revenue base. Multisector is almost in line with less -- last year, the same quarter last year, which is a good sign because we -- even with all of the economic downturn that we can -- could see throughout all of the countries in the Americas segment, we continue to have our -- pretty much in line. So that's a good outcome in terms of revenue.  Telefónica, we are higher as we recover some countries that took longer to react and to resume growth after COVID. And the 2021, we basically had that volume increase from Telefónica. In those cases, we also had a positive impact of the Argentina hyperinflation, which again has a positive effect on the revenue but a negative in fact on the EBITDA as the margins in Argentina are low. So that's one of the drivers for the minus 0.4 percentage points that we do have in Americas.  In EMEA, we have a growth of 14% in Multisector, almost 20% driven by some contracts. We had contracts in the energy sector. We had contracts in the insurance sector that came in on the Multisector. And also in the case of Telefónica, we took over some volumes from other competitors in the beginning of the year, which is showing off here in Q3. The 0.8 percentage points down in terms of EBITDA margin on EMEA is mainly as a result of a mix between onshore and offshore.  So we are more -- slightly more to onshore than to offshore. The expectation is that in Q4, that situation would revert because we are growing now, we can see growth throughout the last weeks more on the offshore than on the onshore.  Looking at our cash flow breach, we basically -- as I mentioned, a lot of the indirect costs and operational improvement that we did in Q2 paid off. So we had $28 million in Q2. Now we have $38 million, it’s a $10 million increase in terms of EBITDA for the quarter. Taking out leases, we reached a $25 million of cash EBITDA or U.S. GAAP EBITDA. We had a negative $5 million in changes, in working capital.  I mentioned in Q2, that we implemented an efficiency program in the billing, in the bill-to-pay process, which is going very, very well. But the main issue for that minus $5 million is that exactly in the closing of the quarter, we had the implementation, the last wave of implementation of the new SAP, basically Mexico, Columbia, Peru, and some of the southern countries in a way that delayed a little bit our billing procedures so delaying also collections. We expect that more to compensate Q4. So not only compensate that $5 million, but actually have a significantly positive change in working capital as a result for all of actions. Combine it with what we already discussed when we had the Q1 closing, that Q4 is always our best quarter in terms of collections. Some clients actually anticipate payments to December. So in a way, we expect a very, very positive Q4 in terms of free cash flow.  CapEx, we continue the same level of control that we discussed in less quarter. Everything that relates to growth, security, cybersecurity, we are doing. But as we have availability in our sites, some investments are reduced because of that. And that's basically what droves our operating cash flow to the positive $8 million and the $46 million of negative finance expense is basically in August, we have bonds plus hedge. The bond was $20 million, hedge, $22.5 million and around $4 million that are other finance expenses that we usually have on our quarter that would make us -- our figures flow down by 38.  For Q4, -- EBITDA expected for Q4 and a very positive change in working capital will show a Q4 pre cash flow very, very positive. That negative $38 million is basically what drove cash. As we reported in the closing of Q2, we had $103 million of cash. We are down to $66 million of cash this year. But again, as I mentioned, the expectation is that the positive free cash flow of Q4 will make us back to the range of a $100 million and that's our expectation to close the year. From the leverage stand point, we are closing Q3 with all of the numbers as reported at 6.1 times EBITDA. But what I did here is just a simulation of what would be the leverage if we exclude the cyber effect of Q4 last year. Remember that, in the net leverage we used the last 12 months EBITDA and the last 12 months basically is from Q4 of 21' to Q3 of '22. So I just need a simulation adjusting for cyber in Q4 of '21, which would pretty much what we would have automatically when we close the year. Because when we close the year, it will enter the new Q4 and Q4 of last year will go out of the last 12 months. So, that's a good simulation for what we expect to have in the year end.  From -- on the debt payment schedule, what I would like to report is that we basically renewed all of our facilities. So the one that is shown there on '22 was basically at closing of the quarter, but we already renewed. So we don't have any let's say repayment commitment for the last quarter. And the other thing that I would like to point out is that inside the '23, which is considered short-term debt is included our super senior facility with IDB, which is a $43 million drop facility which is a nearly renewable facility based on the covenant. And we keep very close control of the covenants, and we are okay in all of those covenants so renewing would be kind of an automatic action.  Another thing that is important to comments is that we are of course well aware of concerns about our financial obligations and increased finance costs. Based on our market forward rates, we expect that 2023 will be the last year of high financial expenses as Carlos shown in his chart. So what we did is first ensured that we recovered the business, what we are showing is that we [Technical Difficulty] so new saves, particularly from currencies you saw EMEA and we have some new sales in the U.S. and shortly as Carlos also presented, in the Philippines.  Another important comment is that we are continuous evaluating any source of finance, refinance and any alternatives to enhance our capital structure of course, we are very close to the maturities under the existing debt and we are looking for other sources, including receivables finance that could let's say, improve our liquidity scenario.  The last thing that I would like to mention to you is on equity. We reported in Q2 a negative equity of $131 million and now we are reporting $165 million negative equity. Again, operating profit is positive. Even the hedge actually in the quarter had a slight positive impact. But the main thing that drove equity down was finance cost as I mentioned, and mainly exchange rates variation mainly on the euro change and some of other currencies too.  So at the closing of the quarter, we have the $165 million. Important to mention that most of that relates to low cash impact, so we had the mark-to-market of the hedge, which is now at $170 million and we had all of the exchange variation that is a non-cash impact on the equity, but it's important for you to have that $165 million is what, to close.  So I think, that's what I had from my end. I think that we now should open to Q&A session. 
Operator: [Operator Instructions] Now I turn the call over to Mr. Hernan van Waveren for questions receive via webcast. 
Hernan van Waveren: Thank you, Carlos and Sergio, I have a question from our audience. What is the pricing environment in your key markets and how competitive are you? 
Carlos López-Abadía: Well, we operate in a very competitive industry, and clearly price is -- price cost is important to every customer. Now that's general statement, but it changes from sector to sector and geography to geography. Our growth -- focus of our growth is in sectors where the value that we can create allows us to get better margins. We -- you can call it less price sensitive. Everybody's price sensitive. But sectors that have the high growth and the value it can create can also allow us to get good margins. There is some legacy sectors that we do have that are much more price sensitive and therefore much more competitive in price.  So one of the things that we’re doing to serve those customers well as, is introduce offerings. For example, something we've done in Brazil this year, we call it [Atento Lite]. But we fundamentally have an offering that has a lower cost structure, allows us to be more competitive price wise. Of course, there are some contracts, customers or segments where we feel we cannot make the margins that we want to make that we choose to exit. We think that having those three components to the way we approach pricing and cost pressures is the best for us. 
Hernan van Waveren: We have another question from our audience. Please help us understand how can you be reducing so significantly your cost and still expect to keep on growing it? 
Carlos López-Abadía: Well, I think as I alluded in my remarks and let me amplify here. There's certain types of costs that you have to simply cut costs. For example, SG&A, you always have to try to be more efficient and make sure that cost do not creep in. And those may be more what people are thinking when thinking about cost cutting. We will continue to be vigilant and be more efficient in the way we handle the back office, SG&A et cetera. But the big ticket item where the bulk of the value is in terms of efficiencies is in the efficiencies in delivery, in our operation, like in the core operation where we deliver our services to the customer.  I've mentioned from the beginning that a big part of our strategy is to be more efficient in that dimension. And I also mentioned that it will be a multi-year effort. These are not about doing the same things in the same way with the -- just with less people or less assets. This is about changing the way we do things to do them more efficiently. And in that sense, it's a win-win-win. You can keep on doing that. And not only you get more efficiencies and better costs, but also you provide better service to our customers.  As an example, I think I mentioned as part of what we call now the phase two of our project breakthrough. One of the areas of focus, for example, is attrition. Attrition is a good example. If you reduce attrition, you reduce costs. You have to hire less, you have to train less. You reduce your cost and you're more efficient. But further, the customer also benefits because your agents, the employees that you have serving your customers, stay longer in that customer and they have more experience and they provide a better service. So it's a win-win-win. So in doing that, although it's more difficult, it takes more time and it's a multiyear project, you can keep on doing that and of course grow. 
Hernan van Waveren: So we have another question from our audience. How does the 10.3% TCV increase reflect on the current and future revenue impact? 
Carlos López-Abadía: Perhaps I need to -- for us, it's very important. I mean the important -- very important to distinguish sales from revenue. As you sell, revenue -- you have a ramp up time, and then revenue starts accruing. So, for example, when I mentioned that we feel very positive about the start of 2023 because of the sales in Q4, for us it's very important the sales we have in Q4 and Q1 because those are the sales that start producing revenue earlier in the year and have an impact throughout the year.  From that perspective, all the sales that we have Q3 -- particularly Q4, are going to have the biggest impact in terms of increase of revenue during the -- in this case 2023, the next year. 
Hernan van Waveren: Thank you, Carlos. Operator, would you mind opening the questions? [Multiple Speakers]
Operator: Our first question today comes from Declan Hanlon with Santander. 
Declan Hanlon: Couple of questions. First off, I guess, while it is concerning that we are witnessing a second decrease in guidance. We kind of understand the backdrop and the micro issues associated with that. But as we're 50% through the fourth quarter, I presume your now full year numbers are built on pretty good visibility. And to that end, just doing the math here, I'm assuming that a fourth quarter margin of somewhere in the mid 13s is required to achieve that. That gets you to kind of where you were thinking about on the balance sheet and brings cash back up a little bit. So if you can comment a little bit more in terms of granularity on that, I'd appreciate it.  The second question relates to what was mentioned by Carlos around liability management. While I understand you can't get into details on that I'm just thinking broadly here. According to my calculations, you're -- you don't have -- you have minimal or basically no availability under your lines, under the secured debt test at this point. Just hypothetically, how would you go about an LM initiative at this point? Those are my two questions. Thank you very much. 
Carlos López-Abadía: Sure. So on the first question, I think the answer is just -- I'm going to let Sergio to give you the specifics on the math. But I think, you're directionally correct, and I think you see that -- so I think a three part question.  So to the first question, do you have a visibility at this stage? I think the answer is yes. We have a month and a half to go. So I think we are pretty close to the numbers. And you can see that our expectation for EBITDA growth in Q4 will be in line, and if anything conservative to the overall.  On the second part, liability management, how do you go about that? As I mentioned, we are looking at a number of proposals we have from institutional investors that are with -- invested in the company as well as international banks. And part of that -- an important component, the different proposals that we look at -- looking at, several of them, the structure that has behind them is receivables -- their receivable pack. So we -- a number of them. And as you correctly mentioned, I think we probably cannot get into a lot of detail while we are doing this.  Sergio, on the EBITDA, no
Sergio Passos: I think that you’re pretty right in your assumption. We consider that we're going to be in the range of 13% to 14%, actually more to the 14%, which would be two quarters in a row of increase. So we are increase 3.3 from Q2 to Q3, and we expect to have at least another 3 percentage points increase in the fourth quarter.  To your point, I know it was not any specific question, but probably will come that would support the increased EBITDA plus working capital that we expect to have much better. And no -- it not -- no, but you had very limited finance costs in the last quarter of the year. We'll make our cash back to the range of 90 to a 100, which was the same one we were -- when we ended Q2. 
Hernan van Waveren: Thank you, Operator. We have a question from our audience. What is the competitive advantage of going to the Philippines in this moment? What's the CapEx and working capital needed for this, and how will this be funded? 
Carlos López-Abadía: Let me answer the last first. This is a self-funding initiative project, what I meant to call it. We had the opportunity and we entertained going to the Philippines at different points in the last few years, but one of the thing we want to do it, is in a very prudent way. We -- this particular business scale, the one we're launching right now is fundamentally self-funding and positive within the year. And as I mentioned, this is not that we are opening a site and hoping that we'll get the business there, we have customers both existing and new customers specific for this site.  So, we pay off in -- within the year. And as I said, it is done with a specific business that is going to -- is going to go into the Philippines. The other part of the question, was it the competitive, can you read it again? 
Hernan van Waveren: Sure. What’s the competitive advantage of going to the Philippines?
Carlos López-Abadía: So, Philippines is an important leg on this tool of competing in the U.S. We are the -- we have the best infrastructure in the world, second to none on near shore. And we've been very successful in selling that and selling customers -- selling customers using that. The Philippines is another capability that is very important in the U.S. market.  Now we're very small in the US market, so could we have grown much more with just the nearshore? For sure. But these -- as I mentioned, a number of customers, existing customers have been asking us and an offering volumes for us in the Philippines, we serve them. And that's an incremental business for us. And also in terms of new customers, we've closed a number of customers recently, but also we have significant customers in the pipeline that will put us in a very favorable position to win their business having that capacity. 
Operator: Thank you. And our next question today comes from Vincent Colicchio with Barrington Research. 
Vincent Colicchio: Carlos, I'm curious your high value sales, did that increase in the mix year-over-year and is it increasing in the sales pipeline versus the prior quarter or the year-over-year period as well? 
Carlos López-Abadía: Yes. Thanks, Vincent. Are you thinking in terms of high growth verticals, or are you thinking anything in particular? 
Vincent Colicchio: High value sales, you used to talk about high value sales, automation, things of that nature. But business that's higher than average in terms of margin?
Carlos López-Abadía: Yes. That tends to be fairly stable. The -- one of the things that we've seen in terms of sales, and I think part of that is putting additional focus on sales. We've seen that the margins and the quality, if you will, of even more traditional services have been moving up as well. So as important as is in the high value sales, because exercises technology, positions us well, give us credentials with the customers, et cetera, et cetera. We've seen both the high value and traditional sales improving in terms of margin. The -- which I thought -- I asked the question -- which I thought I've been asked the question by a number of investors recently in terms of high tech and high growth verticals with all the news on the press about layoffs in high technology et cetera.  So to take the opportunity also to answer that, we've seen from year-on-year, from last year to this year, a less decrease in terms of those high growth companies. Having said that, within the year we've seen increased quarter on quarter on quarter. So it's a positive trend through that. So last year, for example, we had this quarter around 35% on the -- in terms of these high growth verticals, in terms of the percentage of sales. This year we have 20%, but we've seen 12% in Q2, 20% in Q3 and we expect already just with the sales that we have closed and we’re closing a higher than in the 20s for Q4, which indicates that if there was a decrease year-on-year, it's clearly increasing quarter-to-quarter.  The thing I would point out despite the fact, I mean that, you've seen a lot of the news these days on the layoffs and challenges in high tech companies. We did take the actions. We saw the problem coming, not necessarily on just those sectors but seeing the way that 2022 was shaping and potentially 2023, depending on the uncertainties that you see in the world. We took action early in Q1 and Q2. We took the pain, we took the cost and we're beginning to get the benefits. So in that sense, we perhaps were ahead of the curve compared to those high tech announcements. Did I answer your question, Vincent? 
Vincent Colicchio: And Sergio, one for you, if we assume no change to currency rates between now and year end, how much would the currency headwind be to your nominal revenue in ‘23 versus ‘22? 
Sergio Passos: Sorry, can you please repeat? It kind of cut a little bit.
Vincent Colicchio: Yeah, I'm looking for some help in terms of estimating the currency headwind to your nominal revenue in ‘23 versus ‘22. Any help there? 
Carlos López-Abadía: You mean expectations of sales rate? 
Vincent Colicchio: Yeah. 
Sergio Passos: We do believe that well, the -- our main business is in Brazil, and we believe that after the elections where we saw some upsides on the foreign exchange, that would actually let's say, make 2023. As the new government comes in, inflation again, is another topic that I believe is very important. In the case of Brazil, the Central Bank raised it very early, our interest rates, which as you are well aware, there’s a lot in the hedge because that is a direct impact to us.  But in another side, it makes inflation much more under control. So the government now expects that inflation for this year compared to the 10.3 that we had last year, would be around 5. In that sense, we believe that foreign exchange should be better than it was actually in 2022. So in a way, maybe foreign exchange can be kind of a tailwind rather headwind for us mainly in the Brazilian portion of the business.  Looking at Euros, it's hard, but -- it's hard to predict. But again, we had a headwind narrow in the last quarter, which is now more stable. So we believe that foreign exchange should not be a huge impact. I mean, a huge headwind for us for next few year, I think that it could be actually a slight tailwind. 
Vincent Colicchio: So a conservative estimate would be no impact year over year, I suppose. 
Sergio Passos: Yes.
Vincent Colicchio: And then, do you have -- the contract value of sales growth in the quarter was nice to see the 10%, I think it was. Do you have a number for the nine months compared to the prior year nine months? 
Sergio Passos: I don’t know if I have it here, but definitely we can get it to you. 
Hernan van Waveren: We have another question from our audience. What are the expectations of your cash and free cash flow for the end of the year? 
Carlos López-Abadía: For you, Sergio. 
Sergio Passos: We are -- as I mentioned, Q4 is a very, very solid quarter for us. So we expect first, EBITDA to grow compared to the same pace that we had Q2 to Q3 from Q3 to Q4. So that's one side of that. Working capital is significantly positive in our Q4. Remember that in Q1, I explained that we had some advances that we received in Q4, which hits negatively Q1, but it is positive in Q4 on top of the same control in terms of CapEx. So overall, we expect a free cash flow in Q4 to be in the range of $40 million  Free cash flow and operating cash flow, because in a way, the difference on the interest is very small compared to what we had, the $46 million this quarter. So we believe that our free cash flow should be in the range of $40 million, and that would make our cash balance in this range between $90 million and $100 million. 
Operator: Thank you. And our next question today comes from Beltran Palazuelo with DLTV. 
Beltran Palazuelo: First of all, it's a little bit confusing if I get the number. I think you alluded, Carlos, in your prepared remarks that you expect strong third quarter in terms of margins, I think, if I'm not wrong, between 14% and 15%. And then Sergio more conservatively said it was 13% to 14%. So the first question maybe is what do you expect on margin? 
Carlos López-Abadía: I noticed that myself, and normally I’d say, well, I'm sure I screwed up because the numbers -- Sergio knows them better. But I think I recall that to be on this slide. So that's probably the one that you should use. 
Sergio Passos : Yes. We are expecting the range of 14% to 15%. 
Carlos López-Abadía: So I don’t know who was trying to be more conservative, or it’s just as important. So that's correct. 
Beltran Palazuelo : Thank you very much. It's better to be conservative than to lead with those margins and with the free cash flow generation that Sergio was commenting yearly, let's say, net debt to EBITDA guidance is also conservative. Let's get to questions if I may.  In 2023, if you could give us, let's say a little -- I know it's difficult, you do know where our volumes [indiscernible], you do know the sales. But let's see, what do you know -- what do -- are you budgeting for next year in terms of let's say constant currency growth. And then a little grasp with these new contracts like the Philippines supposedly that the margins and free cash flow is more or less of course, everything can change for this. 
Carlos López-Abadía: Yes. Let me see what I can -- to be precise, we have on Friday, the board meeting to approve the budget. So I don't want to comment on the specific budget because until we have that approved, there is no budget yet. But let me give you something directional.  From a macro environment, I don't know you probably have your own assumptions, but we are not assuming that the world is going to get less complicated in 2023 than 2022. So in terms of the top line, I personally think that Brazil probably is maybe a better market in 2023. We have behind an election that got a lot of people nervous about what's going to happen. And as you know, for business sometimes it doesn't matter who wins the elections and uncertainty is the enemy, right? So I think that's behind us. And as Sergio very well commented on, I think the Brazilian Central Bank has taken action earlier than others.  Now, it cost us a fortune in terms of cost that we did not anticipate. But for the economy of Brazil, I think it's good. We expect to see -- and we're seeing it already less inflation for next year than this year. And hopefully that will also allow the government to decrease interest rates and overall a better business environment. But we are not assuming for Brazil or the rest of the world other than, hey, there's certain uncertainty out there.  Having said that, and what do you do in the situation of uncertainty? So we've taken a lot of pain this year to make sure that we have a good cost structure, a good -- we accelerate efficiencies and that's the best way you can prepare for uncertainty and potentially also complicated year in the markets. If you couple that with quite frankly, we've seen a stronger sales -- And again, we could -- I don't know how many points make a line, right? But we’ve seen good Q2 sales and Q3. And quite frankly, I think we've seen -- its always tricky with sales because whether you close a contract on January or December, it makes no difference in terms of the revenue for the year, but it makes a difference in terms of the numbers for Q4. But we expect a very strong Q4 also on sales.  So if you couple the important sales for us for the year which is at the beginning, right, Q4, Q1 and a better cost structure, we definitely expect a better results for next year. I recognize that's the direction all the time, but probably that's the best I can do before we have a budget approved. 
Beltran Palazuelo : And maybe the last question, if I may, I think you mentioned in the slide that the last three or five financial costs or abnormal financial costs would be 2023. You mentioned 2024, your cost is -- of the hedge is 25 to 30, but I think you do not mention that if things stay how they are that the majority of the principle of the hedged also gets a one-off. So just to get that in place, is there still a possibility that on 2024, $25 milllion, $30 million cost, there might be a one-off as you put in the presentation of the second quarter on page 16? 
Carlos López-Abadía: So the positives, you can take clearly negative on the hedge is we didn't expect such a rapid interest rate growth hit us 2022. We’re assuming for 2023 even the forward rates will mean significantly, but beyond 2023 in ‘24, ‘25 and on, the biggest component of the cost of the hedge which is the principle is no more. So regardless of the CBI, regardless of the interest rate, our financial cost drops significantly from that perspective, right, on top of that, interest rates decrease so much better, but regardless, the principle component of the hedge expires in ‘23. So we need to be prudent, we need to be conservative and manage cash flow in ‘23 and things get better after that. Did I -- was I correct, Sergio? 
Sergio Passos: Yeah, I think -- exactly. The 2023, based on the current forward rates is where we are going to have the biggest impact. We are using forward rates, which again, looking at the scenario for Brazil and the inflationary that probably we're going to see probably half of -- or something ranging half of last year, there may be a scenario where later this year, the interest rates go further down so benefit us 24 onwards. But we are not considering that, we are basically using our forward rates. 
Carlos López-Abadía: We are -- it's always better to prepare for the war. So we assume that 2023 is going to be very high financial cost, but we know for a fact that 24 -- that situation significantly improve regardless of the rates. 
Beltran Palazuelo : Thank you, Carlos. Just having that, I totally understand. I think you just mentioned that 24 between 25 and 30, when I see page 16 of the Q2 presentation, there's a one-off positive of 24. So if I do minus 17, minus 14, and I add 24 instead of minus 25 or 30 for 2024, it's much lower. So my question is there still an expectation than when the hedge matches the principle, there's still a one-off positive in February, 2024? 
Sergio Passos: Yes, Beltran. The thing is that, well, we can take you through all of the details offline. Yes we do. But as foreign exchange changed a lot, remember that in Q3, foreign exchange was in the range of 5.5 and now we are in a different foreign exchange level. The benefit changes a lot. So we can take I think, offline, the details. But yes, we do expect the benefits in ‘24. 
Carlos López-Abadía : Yes. And I think this is an important point. I think for one of you that, clearly the offer -- let me make extensively the offer for anyone that is interested. Unfortunately, the hedge is something that's taken a big impact, a huge impact on our business and it’s relatively complex, it took me quite a while, and of course most of you will take much less. But to understand and understand what are the variables and you put your own assumptions in terms of interest rates and foreign exchange rates.  But Sergio has some very good analysis -- sincerely analysis and explanation. So of course -- by the way, both Sergio and I are here in Spain today and through the week, so I don’t know if you are in Spain, but happy to share that with you face-to-face and make extensively the  offer to anyone, which I think is important to understand these very impactful components. So anyone that might be interested, Hernan, make sure that we need -- schedule a workshop or -- 
Hernan van Waveren : Thank you, Beltran. We have another question from our audience. What is Atento’s comparative advantage and how do you keep on being competitive in such an aggressive market? 
Carlos López-Abadía : Well, that – well, there's probably some common components and other things that are more specific market to market at some level, even more specific segment to segment. But let me address the big ones. I think across the board, one thing that is common in Atento is agility. I think you've seen the agility of the company at least in the form resiliency. We have a lot of challenges and we come back out of them stronger. In 2020 we had COVID hit us particularly bad in Q2, we had zero employees working at home. We didn't have the technology infrastructure at the time, and within a quarter we had close to -- if memory is serving me right, close to 80% of the employees working from home. And we recovered within a quarter, quarter and a half from that thing.  Last year we had a big impact trailing into 2022 of the cyber-attack and here we are at essentially a 12 months mark and we recovered the EBITDA margin at the -- essentially at the level that we would've had without that event. And we are at the top of the charts look, us up. I was particularly proud when I saw that we were ahead this -- on cyber capabilities over everybody else. And quite frankly, these are independent sites that are doing analysis on their own. This is not somebody you hire to do it for you. They just do it. So, you can think there is -- there's a link. But Hernan, we should we provide link to these sites, I think that shows our ability to resiliency. But that translates into the way we work with customers. So one of the things that we do is we're very agile in terms of meeting their needs, their evolving needs, when things change, et cetera, et cetera, et cetera. And that is probably across all Atento.  In terms of specific markets, let me touch on a couple of them. So Brazil, very obvious, we have a very strong position of leadership in the market. We use that to give the confidence to our clients. And by the way, not only our existing clients but the third of our sales in Brazil this year has been in -- has been new rollers. So despite the fact that we are the market leader by a long shot, we continue to gain new customers in Brazil.  In -- for example, in the US, which is the opposite spectrum in terms of our -- the best kept secret in the U.S. We have the largest most capable nearshore platform by manner in the world. So, a government -- in fact a federal government client here in the US recently congratulated us because we are the only provider that can regularly provide 90% bilingual agents at the top of hat. And now we have the other leg of this tool, as I mentioned earlier, on the Philippines that's even more so.  So again, it changes market to market, but I think the agility or resiliency ability to adapt, grow and evolve with our customers is probably something that gets across Atenta. 
Hernan van Waveren: Thank you, Carlos. So thank you all for attending today's presentation. This concludes our third quarter 2022 conference call. We look forward in answering any further questions you may have. I remind you that you can find all the information presented today in our website investors.atento.com.  Operator, you may now disconnect the call. 
Operator: Thank you. Thank you for attending today's presentation. You may now disconnect.